Operator: Thank you for standing by. My name is Abbie, and I will be your conference call operator for today. At this time, I would like to welcome everyone to the Piedmont Lithium’s Fourth Quarter and Full Year Earnings Call. Please note that this call is being recorded. [Operator Instructions] I will now turn the call over to Erin Sanders, Senior Vice President of Corporate Communications and Investor Relations. You may now go ahead please.
Erin Sanders: Thank you, operator and good morning everyone. Welcome to Piedmont Lithium’s fourth quarter and full year 2023 earnings call. Joining us today from Piedmont Lithium are; Keith Phillips, President and Chief Executive Officer, who will provide the introductory and closing remarks. Michael White, Chief Financial Officer, will then review our financial results, followed by Patrick Brindle, Chief Operating Officer, who will offer an update on our projects. Keith will provide the closing commentary before we transition to a live Q&A session. As a reminder, today’s discussion will contain forward-looking statements relating to future events and expectations that are subject to various assumptions and caveats. Factors that may cause the company’s actual results to differ materially from these statements are included in today’s presentation, earnings release and in our SEC filings. In addition, we have included non-GAAP financial measures in this presentation. Reconciliations to the most directly comparable GAAP financial measures can be found in today’s earnings release and the appendix to today’s slide presentation. Any reference in our discussion today to EBITDA means adjusted EBITDA. Further references to shipments are lithium concentrate and metric tons are dry metric tons. Please note that copies of our earnings release and presentation as well as a replay of this call will be available on our website, piedmontlithium.com. With that, I’ll turn the call over to Keith Phillips. Keith?
Keith Phillips: Thanks, Erin and thank you all for joining us today for what is now Piedmont Lithium’s second earnings call. We're reporting fourth quarter and full year 2023 results today. For those of you who are new to Piedmont Lithium, I will quickly reiterate our mission and strategy. As one of only three U.S. based lithium companies in production today, Piedmont's mission is to be a leading supplier of lithium resources for the North American EV supply chain. Our goal is to support U. S. efforts to reduce our reliance on foreign nations for critical materials and strengthen our national energy security. Underpinning this mission is our strategy, focused on hard rock production, and that is producing and further processing spodumene concentrate from assets that we own. The big story for us in 2023 was the restart of our Quebec joint venture, North American Lithium. NAL successfully commenced operations last March, leading to our first revenue in Q3 via shipments made under our North American Lithium offtake agreement. NAL has been successfully ramping up production over the past ten months and hit record production levels in December. NAL now has the distinction of being the largest lithium operation in North America, the only large spodumene mine in North America, and one of a couple of handfuls of spodumene mines controlled by western companies anywhere in the world. We are completing a few remaining capital projects in the first half of 2024 that we expect will result in further improvements in production and unit operating costs as NAL looks to achieve full run rate production levels later this year. Patrick will talk about these in more detail during his update. NAL is a key focus for us, given its status. NAL is a key focus for us given its status as a producing asset, but we have a strong development pipeline with our projects in Ghana and the United States. We believe Piedmont is well positioned for the long-term with growth opportunities across our project portfolio. I'll speak to that more fully on the next slide. We have been very disciplined in our approach to growth, prioritizing a prudent funding strategy while minimizing dilution of Piedmont shareholders. Part of this strategy includes managing our cash balance obviously. We ended 2023 with $71.7 million in cash and cash equivalents, and in the first quarter we have sold our holdings in Sayona Mining and a portion of our holdings in Atlantic Lithium for approximately $49 million in net proceeds. We have an additional number of non-dilutive project funding options that we are exploring, all in an effort to help ensure that we're leveraged to the lithium price recovery that we believe is not a matter of if, but when. You'll hear more from Michael about our finances shortly. So let's take a look at our integrated development pipeline. Over the past several years, we've created a robust pipeline with large strategic projects positioned for development on a sequential basis. At NAL, production is ramping toward target. Production volumes and unit costs are expected to improve in 2024 after the completion of key capital projects. The future at NAL appears especially encouraging given the exceptional drill results announced by Sayona in late 2023. Notably, some of the drill intercepts from the 2023 program are thicker and higher grade than any previously encountered increasing confidence in NAL's mine life. With infill and exploration drilling continuing, we expect a resource update to come during 2024 which may offer the potential for further mine life extensions. My point is that NAL is very much a core asset and with our life of mine offtake agreement for qualified Inflation Reduction Act material and is critical important to our customers, I believe NAL will be a great asset for Piedmont shareholders for the long-term. Now, while this is an earnings call and NAL is our only producing asset, I do want to highlight the exciting growth projects in our portfolio, including our Ewoyaa project in Ghana and our strategic projects in the United States. The Ewoyaa project continues to advance through the permitting and approvals process in Ghana. Ewoyaa is planned to be a large spodumene producer with a high return on invested capital, driven by relatively low capital and operating cost. It's going to be a great project for us and our partners, Atlantic Lithium. Our Carolina and Tennessee projects are both strategically located in the growing battery belt and are critical to the goal of achieving some level of lithium self-sufficiency in America. Carolina Lithium is our integrated project that we're designing to include mining spodumene concentrate production and 30,000 tons per year of lithium hydroxide production, all on one site. We expect to complete the material permitting process in 2024. Our Tennessee project, which is permitted and also designed for 30,000 tons of lithium hydroxide production, provides an additional opportunity to expand downstream capacity when we and the market are ready. So our plan with each of these three projects is to invest in their development at the right time, in the right way, and always with the goal of minimizing shareholder dilution. With that, let me turn it over to Michael.
Michael White: Thanks, Keith. Turning to Slide 7, as Keith noted, in the second half of 2023 we had several shipments of spodumene concentrate from Piedmont's NAL offtake. In total, we shipped 43.2 thousand dry metric tons of spodumene concentrate last year. From these shipments, we recorded full year revenue of $39.8 million and gross profit of 5.7 million, which equated to a realized price of $920 per metric ton and a realized cost of $789 per metric ton. Looking at earnings per share full year 2023 GAAP diluted earnings per share was a loss of $1.14. Adjusted diluted earnings per share was a loss of $1.64, which reflects a $0.51 improvement compared to an adjusted diluted earnings per share loss of $2.15 in the prior year period. We ended the year with $71.7 million in cash and cash equivalents. Subsequent to year end, we strengthened our current cash position by $49.1 million by selling our holdings in Sayona Mining and a portion of our holdings in Atlantic Lithium. The sale of these shares had no impact on our joint ventures or offtake positions with either Sayona Quebec or the Ewoyaa project with Atlantic Lithium. As of February 21, we hold approximately $8 million in marketable securities. Moving to the next slide, we reported third quarter revenue of $47.1 million, which included provisional pricing for a spot price shipment. In the fourth quarter, we recorded a $15.1 million provisional revenue adjustment for settlement of our third quarter spot shipment. This adjustment was due to the sharp decline in spot market lithium prices from mid-Q3 to the eventual price settlement at the end of 2024. Also in the fourth quarter, we recorded $7.8 million in revenue associated with Q4 shipments. In total fourth quarter revenue was negative $7.3 million, and full year 2023 revenue was $39.8 million. To better depict the revenue scenario I just discussed, let's move to Slide 9. In 2023, we made shipments under spot contracts and under our long-term customer contracts, the majority of which on a dry metric ton basis being spot. In the third quarter we had two shipments, one on the spot market and one to a contract customer. The spot shipment occurred in September. However, pricing was based on market prices at the time we executed our spot contract in August. As part of our spot contract, Piedmont received a large prepayment. We then reported provisional pricing at the end of the third quarter. Yet final price settlement did not occur until the end of December, after the ship had arrived at its destination. As we know, lithium prices declined precipitously during transit of the shipment. This delayed price settlement is the current practice in the spot market, which is subject to large price swings due to volatility in the spot market. We had four shipments in 2023 and one in early January 2024, which was scheduled for December, but was delayed due to inclement weather at port. Our shipments took various routes, largely due to weather conditions. We'll talk about how we're going to reduce our exposure to the spot market shortly. Let's turn to Slide 10 for sources and uses of cash. We began the fourth quarter with $94 million. Given the decline in lithium prices, we worked to minimize our expenses, lower capital expenditures and investments in affiliates, and ended the quarter with $72 million in cash and cash equivalents. Looking at full year 2023, we had $99 million at the beginning of the year, followed shortly thereafter by a net equity investment by LG Chem of $71 million. We had $57 million in capital expenditures and $43 million in investments in advances to affiliates, thereby ending the year with $72 million in cash. Now moving to our outlook on the following slide. Especially during this current price environment, Piedmont is focused on conserving cash, undertaking measures to reduce expenses and limit capital spending across our global portfolio. In February 2024, we initiated a cost savings plan to reduce spending by $10 million annually and deferred capital spending in 2024. We expect to complete our cost savings plan by the end of the first quarter and recognize most of the $10 million run rate savings in 2024. As part of our plan, we reduced our workforce by 27%, mainly within our corporate office staff. We expect to record approximately $1 million in severance and related costs associated with this plan in the first quarter of 2024. In 2024, we are projecting to fund capital expenditures between $10 million to $14 million and investments and in advances to affiliates between $32 million and $38 million. As you can see, in response to current lithium market conditions, our planned funding is significantly reduced from our 2023 funding levels. It's worth noting that our current 2024 outlook is subject to further changes in market conditions. The majority of our forecasted capital expenditures relate to Carolina lithium and Tennessee Lithium. Investments in and advances to affiliates reflect cash contributions to Sayona Quebec and advances to Atlantic lithium for the Ewoyaa project. Piedmont Lithium expects Ewoyaa funding to be minimal in 2024 and is evaluating a range of options to fund its share of project capital that would be non-dilutive to Piedmont Lithium's shareholders. We expect a final investment decision for Ewoyaa to be made by the end of 2025. Moving to the next slide, in October 2023 Sayona Mining provided a forecast for the one year period beginning July 2023 through June 2024, projecting spodumene concentrate production of 140,000 to 160,000 dry metric tons and shipments of 160,000 to 180,000 dry metric tons. Under our offtake agreement with Sayona Quebec, Piedmont has the right to purchase the greater of 50% of production or 113,000 dry metric tons per year. This is in addition to the 13.1 thousand dry metric ton shipment that sailed in mid-January. Our purchase price is subject to a floor of $500 per metric ton and a ceiling of $900 per metric ton on a life of mine basis. Note Piedmont's actual purchases in 2024 may differ from the allotment I just discussed based on how deliveries under our customer contracts are scheduled. As we begin deliveries under our customer contracts, we expect to provide more stable price realizations and reduce our reliance on unpredictable spot market sales. As we have published previously, our supply agreement with LG Chem is to deliver 200,000 dry metric tons of spodumene concentrate over a four-year period based on market pricing. Our agreement with Tesla is to deliver 125,000 dry metric tons of spodumene concentrate over a three-year period, also based on market pricing. With that, I'll turn it over to Patrick Brindle for our operations and projects update.
Patrick Brindle: Thanks Michael. Starting on Slide 14, I'll summarize 2023 NAL operational results. Production at North American Lithium restarted in March of last year. Ramp up has progressed really well in 2023 and in-line with our expectations, and we hope to achieve full production on a run rate basis within 2024. In the fourth quarter last year, NAL produced over 34,000 tons of concentrate, representing an increase of almost 3000 tons compared to quarter three. Q4 saw shipments of almost 24,000 tons, 14,000 of which were sold to Piedmont, with the remainder sold to third parties. For full year 2023, NAL produced nearly 99,000 and shipped more than 72,000 tons of lithium concentrate. More than 43,000 of these concentrate tons were sold to Piedmont, which we then delivered to our customers. Moving ahead on Slide 15 again, restart has been highly successful after an almost four-year period of care and maintenance. December's production of almost 14,000 tons of concentrate may be the most concentrate ever produced at NAL in a single month in the entire history of the mine. December's record production was made possible by reaching a mill utilization rate of 80% and global lithium recovery of 66%. We are planning for additional improvements in utilization rates in 2024, which I'll speak to shortly. Based on production achieved from July to December last year and current pace of operations, we believe the target of 140,000 to 160,000 tons of production reported by Sayona for their fiscal year July 2023 to June 2024 to be a realistic operational target. Our objective for the operation is to achieve full production run rate within this year. The principal driver to achieve full production this year is going to be completion of the crushed ore storage dome. One of the fundamental challenges with the design of NAL has always been the limited storage capacity for crushed ore between the crushing plant and the mill. This lack of capacity in effect limits mechanical availability to what is achievable in the crushing plant. Once we complete and commission the crushed ore dome later this coming spring, then management should achieve their target mill availability of greater than 90%. Completion of the dome should then result in increases in monthly production rates and decreases in overall cash operating cost for NAL in the second half of 2024. In the pit production challenges related to existing underground mine works in our current area of operations will likely persist throughout 2024, but should largely fall away by 2025. Our strategic review of NAL operations remains ongoing together with our partners at Sayona, with the goal of positioning NAL to operate through all periods of cyclical market pricing. Shifting to exploration activities, what's not on this slide are some of the exceptional drill results reported by Sayona in November 2023, which makes us even more optimistic about the long-term future at NAL. These drill results showed thick, high grade, lithium-bearing pegmatites that are some of the best intercepts ever encountered on the property. While these intercepts sit outside of the current pitch shell, they speak to some of the blue sky potential at the project, and we'll have more information after followup drill campaigns are completed. Now let's turn to Ghana and the Ewoyaa lithium project. Ewoyaa is just such a fantastic project with low estimated upfront capital cost, simple dense medium processing, low expected operating cost based on last year's feasibility study. Ewoyaa is only about 70 miles from the Port of Takoradi, whose bulk terminal is capable of handling up to cape sized vessels. That terminal has recently been upgraded by the Port Authorities, and the automated ship loading facilities have been in service for a number of months. Ewoyaa's estimated annual production, on the basis of mineral reserves only will be in the range of 340,000 metric tons of spodumene concentrate per year. We have an earning right to a 50% ownership stake in the Ewoyaa project, excluding government interests, and we hold a life of mine offtake right to 50% of production at market prices. A number of important milestones were achieved last quarter and in the first few weeks of this year. Last October, Ghana's Ministry of Lands and Natural Resources granted a mining lease for the Ewoyaa project. That's the country's very first lithium mining lease and that lease includes a 13% free carried interest in Ewoyaa for the Government of Ghana, as well as a 10% royalty. This lease does remain subject to ratification by the Ghanaian parliament.
MIIF:
MIIF:
MIIF: Very importantly, from a Piedmont perspective, MIIF's investment and the Government's free carried interest do not impact our offtake right to 50% of annual spodumene concentrate production on a life of mine basis. Atlantic is also advancing other regulatory approvals and permits, and they estimate that all of these permits, along with government ratification of the mining lease should be received within 2024. That wraps up discussion of our joint venture partnerships. Now I'd like to come back to the United States and move to Slide 18, where we can touch on our wholly-owned Carolina and Tennessee lithium projects. Both of these projects are strategically located, and we continue to advance them on timelines that consider current lithium market conditions, strategic partnering efforts, and government debt financing opportunities.
MIIF's: Very importantly, from a Piedmont perspective, MIIF's investment and the Government's free carried interest do not impact our offtake right to 50% of annual spodumene concentrate production on a life of mine basis. Atlantic is also advancing other regulatory approvals and permits, and they estimate that all of these permits, along with government ratification of the mining lease should be received within 2024. That wraps up discussion of our joint venture partnerships. Now I'd like to come back to the United States and move to Slide 18, where we can touch on our wholly-owned Carolina and Tennessee lithium projects. Both of these projects are strategically located, and we continue to advance them on timelines that consider current lithium market conditions, strategic partnering efforts, and government debt financing opportunities.
DEMLR:
DEMLR:
DEMLR: Flipping ahead to Slide 19, in Tennessee last quarter, we purchased a tailing storage facility adjacent to our proposed project site. Owning our own storage facility for our inert tailings has been part of our strategy for Tennessee and will provide significant operating cost savings versus tailings disposal via third parties. Last quarter, we also signed a purchase agreement to buy a large industrial site in Tennessee next door to our proposed operations, which we could potentially use to reduce future project CapEx. Right now, we're kind of evaluating the timing of Tennessee Lithium against the backdrop of prevailing market conditions, financing opportunities, and progress on regulatory approvals at Carolina Lithium and at Ewoyaa. That concludes my remarks and our update on Piedmont's global portfolio. With that, I'll turn it over to Keith for an update on the market and our funding strategies.
DEMLR: Flipping ahead to Slide 19, in Tennessee last quarter, we purchased a tailing storage facility adjacent to our proposed project site. Owning our own storage facility for our inert tailings has been part of our strategy for Tennessee and will provide significant operating cost savings versus tailings disposal via third parties. Last quarter, we also signed a purchase agreement to buy a large industrial site in Tennessee next door to our proposed operations, which we could potentially use to reduce future project CapEx. Right now, we're kind of evaluating the timing of Tennessee Lithium against the backdrop of prevailing market conditions, financing opportunities, and progress on regulatory approvals at Carolina Lithium and at Ewoyaa. That concludes my remarks and our update on Piedmont's global portfolio. With that, I'll turn it over to Keith for an update on the market and our funding strategies.
Keith Phillips: Thank you, Patrick. I'd like to conclude our presentation with some thoughts about the market and our funding strategy. There's an old saying in the mining industry, the solution to low prices is low prices. After hitting record highs in 2022, lithium prices have fallen 85% or 90% and appear to have settled at these lower levels. These lower lithium prices have led to lower equity valuations for lithium companies and with share prices lower and interest rates higher, the cost of capital has risen significantly for new project development. The economics of new projects are obviously more challenging, and we expect more greenfield lithium projects to shift their timelines to the right. To the extent strong demand growth continues and new supplies fall short, a strong recovery in lithium prices could be in our future. The next slide shows you the trailing 24-month and twelve-week average reported pricing. As you can see in the right hand chart, prices appear to have stabilized. We are hearing from many market observers that inventories throughout the system are down significantly, in some cases, Cathode producers have less than five days of inventory on hand, down nearly 75% from early 2023. Battery manufacturers have made over $80 billion in commitments to newer, expanded manufacturing to build out the EV supply chain in recent years, and that is just in the United States. We believe the demands from these downstream manufacturers will equate to significant new pressure on prices, which contribute to the global expectations that demand will outstrip supply in the latter half of the decade.
Albemarle: The market is challenging right now for many project developers. Our sense is that delays in supply chain development, combined with the growing demand to the EV industry, may underpin the next lithium price recovery. Forward pricing curves are in [indiscernible] and we are well positioned to capitalize on any upswing in prices via our offtake agreement at NAL. With a ceiling price of $900 per ton the offtake agreement is structured to capture meaningful upside in a rising price environment, similar to a call option on lithium prices. Now let's look at what's driving the demand growth story, electric vehicles and energy storage systems. There's a false narrative circulating in the market right now about EV sales. The industry actually saw record sales in 2023. This includes the month of December, where 1.5 million new EVs were sold, which is more EVs sold in the entire year of 2017. Moving into 2024, in the seasonally slow month of January, the EV industry saw 69% year-over-year growth globally and that growth is not just happening in China. In the US, 1.4 million EVs were sold in 2023, representing a 50% increase from 2022 and North American EV sales grew by 41% Year-over-year in January. So I would say we're moving from a period of exceptional growth to tremendous growth. As you can see in the EV sales bar chart, penetration rates are expected to grow each year, but it's not just the number of EVs being sold, the size of each battery is also important, particularly in the U.S., where drivers want to go long distances. Larger batteries obviously require more lithium. The energy storage segment is also presenting a new channel of demand. A once nascent market, energy storage has become a significant market for lithium producers, and ESS demand is expected to grow almost 50% in 2024. ESS has already surpassed demand from the traditional portables market, where the commercialization of the lithium-ion battery began. All that is to say, we are still in the early stages of a decades long revolution. Moving to the next slide, let's look at what it will take to support the development of this American supply chain. Today, China produces more than 80% of the world's lithium hydroxide. There's widespread recognition across the industry that the U.S. is woefully behind in both critical minerals production and in downstream battery and EV manufacturing. I mentioned the massive investments that are being made by battery manufacturers in the U.S. Those plants are going to need approximately 780,000 metric tons of lithium hydroxide, which is 40 times more than the current domestic production capacity. So we should expect significant shortfalls in lithium here in the U.S. over the next five to ten years. Our strategy is to position Piedmont to take advantage of the near-term and long-term market dynamics by combining focused cost saving actions with prudent growth in our project portfolio. On to the next slide, our financing strategy is centered on maintaining financial strength while minimizing equity dilution to Piedmont shareholders. At the corporate level, we've taken a series of actions to fortify our financial position. We initiated a cost savings plan aimed at reducing run rate cash expenses by $10 million in 2024. We reduced our headcount by 27% earlier this year. While this was a difficult decision, we believe we maintained a strong core of employees capable of executing our long-term strategy for the next bull market. We also reduced our equity ownership in our joint venture partners. Sayona and Atlantic are both strong partners of ours and we are committed to the NAL and Ewoyaa assets, but our shareholdings in the two parent companies were essentially nonproductive assets that we were able to turn into cash, and cash is king in this environment. Importantly, neither of these share sales will impact our project ownership or economics. We are also mindful of our project related expenses. As Patrick mentioned, there are a series of efforts underway at North American Lithium which will enable us to continue ramping the project to nameplate capacity while hopefully reducing operating costs. Our Ghana funding in 2024 is focused on advancing the project through necessary permitting and approvals. We anticipate funding will be modest in 2024 prior to final investment decision and the project level investment by MIIF the sovereign wealth fund in Ghana if and when completed, may defray partner funding requirements. For our U.S. projects we are managing the pace of spend while positioning the project for execution in the future market we anticipate. Lastly, our sales strategy is to begin deliveries under our long-term customer contracts and reduce our exposure to the volatile spot market. This transition should occur in 2024 and we hope it will lead to price realizations that are both stronger and more stable. On the next slide, we'll discuss how we think about funding our business and future operations with the goal of minimizing dilution to Piedmont shareholders where possible. We ended 2023 with $72 million in cash and have since taken action to strengthen our balance sheet through the sales of Sayona and Atlantic stock for net proceeds of approximately $49 million. As we think about our projects, there are numerous funding options available and we continue to evaluate what makes the most sense. At North American Lithium, in addition to the operating cost improvements expected this year, we are working with Sayona to evaluate a number of project-level funding opportunities that could alleviate pressure on the partners to fund operations and sustaining capital projects. NAL is currently unencumbered with no debt, no royalties and other than the Piedmont offtake agreement, no committed offtake. Needless to say funding options at NAL are plentiful. As discussed earlier, we expect 2024 funding at Ewoyaa to be modest. We are hopeful that the project receives all approvals later this year so that construction could begin in 2025, and we are assessing several non-diluting funding options here as well. We intend to apply for project financing from the Development Finance Corporation, which could provide a majority of the capital for the project, and our life of mine offtake agreement for 50% of Ewoyaa's production may be able to underpin substantial customer financing for the project. Our strategy for funding our U.S. projects remains the same; maximize project debt funding via the Department of Energy's ATVM loan program and fund project equity largely through contributions from potential strategic partners. Given their locations in the United States, strategic interest in these projects is robust, but to maximize value for Piedmont's shareholders, the right time to put this financing in place is when lithium markets have begun to recover. Before turning to Q&A, we wanted to share a slide that puts Piedmont alongside some of its equity market peers, mostly spodumene companies trading in the U.S. and in Australia. As a multi-project company, Piedmont is sometimes seen as a little complicated, a model and value, but I would just highlight a couple of things. At approximately $150 million, our enterprise value is by far the lowest amongst this peer group. I'd contrast that with our significant spodumene reserve base and our large planned spodumene and lithium hydroxide production volumes versus the peer group. Our hope is that if we can develop our projects while minimizing dilution to our shareholders, that we will see our valuation move closer to these peer benchmarks. That concludes our presentation portion of the call. Thank you for your time and attention. We'll shift to Q&A.
Operator: Thank you so much. We are now switching to Q&A. [Operator Instructions] Our first question comes from David Deckelbaum from TD Cowen. Your line is now open.
David Deckelbaum: Thanks, Keith and team. Thanks for taking my questions this afternoon and for all the prepared remarks. Keith, I was curious if you can give us some color. You shared your view on the markets and the eventual term you outlaid I think the plans that Piedmont has to kind of weather this downturn. I'm curious, as you think about projects, especially in the United States, how would you characterize the environment for offtake and customers? Have you seen a marked shift in customer sentiment and the potential ability to secure offtake agreements over the last several months in conjunction with this lithium price downturn?
Keith Phillips: Hey, thanks, David. Thanks for the comments, and thanks for the question. No, I think customer interest remains very high. There are a number of companies having offtake running processes to secure prepaid offtakes for different projects. Atlantic Lithium is doing that with Ewoyaa. There are several others doing it. We continue to have very healthy conversations with people about offtake. I think for the U.S. projects we have, these are big projects. They require a lot of capital. So for us, it's really about what's the right time to be asking people to write significant checks, whether those are loans or equity checks. And realistically, what we think is maybe the bottom of the market isn't the ideal time to do that. So we've had a lot of good conversations with people. We continue those. We're meeting with folks at all times, but we don't feel a lot of pressure to move those projects forward aggressively in this market, so we'll be patient with that.
David Deckelbaum:
SC6:
Keith Phillips: Yes, listen, we're assuming -- we expect prices to improve in due course. We're modeling we think conservatively, which is the prices stay at the current level. I think as we think about NAL and this operations review with Sayona is ongoing, we're very optimistic about the outcome of some of the capital improvement projects and where cash costs go. So, number one, we think the cash cost of the project will improve meaningfully during the course of this year. Secondly, with our customers and with other prospective customers, we're having, I would say, constructive conversations about pricing, potential floor pricing arrangements, et cetera. It's a very strategic asset. This is North America's only significant spodumene producer. The material is obviously IRA qualified. It matters to people. So I think there's a chance you'll see something. And I would say the joint venture itself has unallocated tonnage of 75,000 or 80,000 tons a year. That's very valuable. There are people who want that material, and we haven't secured that yet. We frankly haven't been focused on it. Neither has Sayona. We've been focused on the operating side, but there's a real opportunity there to bring in capital. So our hope is that we get through this capital program. We see operating costs improve as expected, and we are breakeven. We would love to be breakeven at these prices and positioned to capitalize on a future recovery. Cycles in this industry don't necessarily last that long, up or down, so you'd hate to be taking 12 months or 18 months to ramp back up if there was a recovery.
David Deckelbaum: Absolutely. Best of luck. I appreciate all the responses and all the information today. Thank you.
Keith Phillips: Thanks.
Operator: Our next question comes from Greg Lewis from BTIG. Your line is now open.
Gregory Lewis: Yes. Hey, thank you and good afternoon, and thanks for taking my questions. Patrick, thank you for all the detail on Carolina Lithium. I guess as we think being, having received ADI No. 4, which I guess addresses the groundwater and the sediment control, what else should we be thinking about before we get to permit completion? Are those kind of the final hurdles or should we expect some more back and forth over the next few quarters?
Patrick Brindle: Yes, it's a good question. The state always reserves its right to continue to ask questions up until they render a decision on our permit. So it's not inconceivable that additional question sets could come. What I would say is, if we look at the trend of the number of questions that we've received per ADI starting in the fall of 2021 until now, they each reduce a number in successive ADI. So this last round is to what we would consider very straightforward, somewhat technical questions in nature that require us to make some updates to our design drawings and return them back to the State. I'm hopeful that we'll be concluding the process in the not too distant future.
Gregory Lewis: Okay, great. Thank you for that. And just realizing that lithium pricing is volatile, let's just assume a more positive outlook and a recovery here in the next couple of years. As we think about Ghana taking FID and trying to gauge CapEx, you noted that the $124 million of CapEx for Ghana. If we kind of look and just use the curve as a guide, how should we think about the split in timing annually of that $124 million in CapEx for Piedmont for Ghana?
Michael White: Yes. What I would say is that management at Atlantic is working very hard on approvals for the Ewoyaa project. There are a number of them to clear an EPA permit, a tailings permit, ratification of the mine lease, an approved resettlement action plan, among others. Their expectation is that they will receive all of those approvals within this calendar year and starting by 2025 we could then expect with all those approvals in hand to start funding our obligations towards construction.
Gregory Lewis: Okay, great. Thank you for the time, everybody.
Keith Phillips: Thanks, Greg.
Operator: Our next question comes from Bill Peterson from JPMorgan. Your line is now open.
Bill Peterson: Yes. Hi, good afternoon everyone, and thanks for taking the questions. I guess coming to the NAL optimization efforts, and I might have missed it, but I guess, how much of the cash cost improvement, I guess on a per ton basis, could you see at NAL once the strategic initiatives like the crushed ore dome and tailings facility outline are implemented?
Keith Phillips: You want to take that, Patrick?
Patrick Brindle: Yes, I would say on a trend basis, we could expect to see as much as C$400, C$500 per ton cash cost from where we were in the second half of last year to where we might expect to be at the end of this year once we're at full ramp, taking into consideration the dome and other optimization activities.
Keith Phillips: Yes, Bill, it's obviously pretty significant. I mean, the dome -- the absence of a crushed ore dome means we just take a lot of downtime in the plants when the crushing facility needs maintenance. So the elimination of that should increase production meaningfully with no more people, no more power, et cetera. So unit production costs should improve quite significantly.
Bill Peterson: Yes, thanks for that. And then I guess, as we think about 2024, I know you obviously prefer LTA versus spot, but how should we think about the mix as we progress through 2024, I guess realizing we have at least one spot here in the first quarter, and then how should we think about the pricing structure of these LTA sales as we progress through the year?
Keith Phillips: Yes, you're right. So we made a spot shipment in January. It was initially scheduled for December. Our focus right now is very much on transitioning our shipments to our long-term customers and having the joint venture take its essential share of the material and sell that on the spot market until we have a long-term offtaking agreement in place for that. So ultimately, it depends on how fast our customers can take the material. One of them has a lithium hydroxide plant of their own they are going to be ramping up this year. The other is taking it through a tolling facility elsewhere. And it really depends on how fast they can take it. And we intend to provide more clear guidance on shipment volume, hopefully in our first quarter earnings release once we have more clarity on that and right now, it's just premature. We do have the eligibility to take 126,000 tons this year, normal 113,000 tons, plus the 13 that was delayed into January. We still hope to do that. We would hope that the vast majority of that is contract shipment. And right now, we kind of foresee maybe one or two more spot shipments over the course of the year, maybe not, depending on how fast our customers can take the material.
Michael White: Yes, Bill. And if I might just add, if you think about operations at NAL and the commitment from Piedmont, what I would say is the greater part of our expenses in support of the joint venture are front loaded in the first half of the year. The dome should be complete in sort of the April, May time frame. And so we expect to have significantly reduced financial commitments to the joint venture in the second half of the year. And as Keith said, we really backloaded the lifting schedule between ourselves and the joint venture tons towards our customer contracts under long-term agreements in the second half of this year. So conditions from our perspective should improve.
Bill Peterson: Okay. Thanks for sharing the insights.
Keith Phillips: Thank you.
Operator: Our next question comes from Greg Jones from BMO Capital Markets. Your line is now open.
Greg Jones: Hi, good afternoon Keith and team. Thanks for taking my question.
Keith Phillips: Thanks, Greg.
Greg Jones: With the cash balance at year end at $72 million and the plans that you're describing to minimize capital spend into 2024, can you share any color on the decision to divest the holdings of Sayona within the quarter versus continuing to hold, given where share prices across the sector have been recently?
Keith Phillips: Yes, Greg, great question. Listen, we thought about this off and on. We frankly considered selling Sayona and Atlantic shares months and years ago at higher prices, and in retrospect, that would have been a good thing to do. But as we kind of head into 2024 and we thought about the environment we're in and the uncertainty we face, I mean, we're very bullish. I'm exceedingly bullish medium term. I don’t have -- I have a fairly cloudy crystal ball for the next quarter or two, and we just thought there was an opportunity. In the Atlantic situation, we had an opportunity to sell those shares at a pretty significant premium and in the Sayona situation their shares obviously have traded really well this year and traded up recently. I think, in part the good news of the mobile and DFS. So there was an opportunity for us to monetize those and really take funding at the Piedmont level, I wouldn't say off the table, but a lot of people ask me, when are you going to run out of money? When will you need to raise equity? And frankly, we think we just did. By selling the Sayona shares and the Atlantic shares, in total, we raised around almost $50 million. That's a lot for us, and it kind of positions us to get comfortably into 2025 without having to worry about dilution at the Piedmont level.
Greg Jones: Thanks. On the Q3 call, there was some discussion around the strategic partnering process and the ATVM loan application that's underway for Tennessee. And I think the commentary at the time was that could potentially take nine to 12 months to reach a resolution or a conclusion there. With today's release, there was also mention of Carolina potentially approaching a conclusion on the permitting side. How do you think about the timing and the staging of those two processes or projects if those timelines sort of come together at the same point? Is there a view as to staging one versus the other or how do you think about the timelines currently?
Michael White: Yes, it's a great question. We think about it a lot. We're feeling optimistic about the Carolina permitting process now, whereas sort of six plus months ago as we were getting permitted in Tennessee, it appeared that was certainly the project to move forward most quickly and first. And we entered into the ATVM discussions, we entered into a series of strategic discussions. I guess I would say the Department of Energy is aware of and interested in both of the projects. I think the strategic parties are interested in both of the projects. We'll see how the Carolina permitting process evolves here over the next several weeks and months. And I think in this market we're not in a hurry. I mean, these are big projects. Ultimately, they're billion dollar plus projects. This isn't the best time to try to fund them, but we've laid the groundwork. We're in touch with all of the strategic parties that we care, and there are a number of them. We have a great relationship with the DoE. So those are processes. Once we decide, once we have more clarity on each of the projects timeline, we'll make a clear decision then, and hopefully that happens over the next several months.
Greg Jones: Great. Thanks very much. That's all from me.
Michael White: Thanks a lot, Greg.
Operator: Our next question comes from Noel Parks from Tuohy Brothers. Your line is now open.
Noel Parks: Hi. Good afternoon. I just had a few things I wanted to run by you. Talking about the energy storage market and of course, we've certainly seen lithium pricing cycles before. And if we look ahead to pulling out of this down cycle, I just wonder sort of what that source of demand, how that might sort of affect, I guess, the shape of the curve heading out of it. So I was just thinking about the contrast between now and say, the last rebound.
Keith Phillips: Yes, it's a good question. Candidly, we at Piedmont don't spend a lot of time directly thinking about the energy storage markets. It's not where our focus has been. We're focused on the EV business and the customers we have now and the customers we're spending time with, the strategic parties are all aligned with, frankly, spodumene concentrate to lithium hydroxide for vehicles. So, having said that, ESS is a really important part of the overall lithium kind of macro story. It's growing more quickly. It's at an earlier stage, but it's growing more quickly than EV demand for lithium, so it's really helpful. I mean, to some extent, lithium units are fungible, and to the extent they're committed into energy storage, grid storage solutions, that's great for demand generally, and I think it will have an impact. And I think the share of lithium going into the ESS business is growing, even though demand for each of the other components, like EVs, is also growing very quickly, but ESS is growing more quickly. So you're right, it was an insignificant part of the market or a less significant part of the market three years ago when the market began to turn or four years ago now and it will certainly be a bigger part going forward.
Noel Parks: Great. Thanks. And I guess when you talk about sort of non-dilutive funding options, and you talked a little bit about timing and maybe this not being ideal, but I guess when you talk about potential partners, looking at sort of the medium term, I'm just wondering, is sort of the rate environment a significant piece of what potential funders might be thinking about or are they just more sort of big picture macro, assuming that we have sort of a near-term choppiness in pricing and then return to a more normalized pricing, for sure, like a subsequent leg of whatever financing you have. Any thoughts there?
Keith Phillips: Yes, I hope I answer the question that you were kind of where you're getting at. I guess I would say, I mean the strategic parties we're talking to tend to be very large companies in the automotive business, the battery business, other businesses, mining and oil and gas, they're a variety of parties. These are big projects, so they tend to attract big companies with strong balance sheets for whom the financing environment that might affect a smaller company like ourselves is somewhat less significant. And these are companies often who have made very significant commitments of their own to capital projects for which they need supply. They've either building EV plants or they're building battery plants or they're building cathode plants. And spending all the money to build those plants and being unable to secure supply is a serious issue for them. So there's a real focus on it. So I don't think it's having quite a significant impact on those discussions. And really, we don't have anybody on the strategic side telling us to slow down. They don't need the material. It's quite the opposite. People are wondering, why won't you do a deal with me now? For us, the issue is a little more, A, we're having the deliberation about Carolina versus Tennessee timing, just given the pace of permitting and everything else; and B, there's the process of going through the ATVM loan process, which is a multi-month process obviously. And it's really whether this is the time we think we want to kind of lock-in equity and debt commitments for a project that is large in a market that's not as attractive as was a couple of years ago and not as attractive as we think it will be a couple of years from now. So we're just being patient. I mean, one of the threshold questions we think about every day, we're all shareholders and we're focused on building a business successfully. At the end of the day, we want to do it in a very prudent way while minimizing dilution to our shareholders. Full stop. So we're not going to race into a $1 billion plus project where we give away a lot more value in a bear market than we might be able to preserve in a stronger market.
Noel Parks: Great. And just a last one from me. You talked about some of the encouraging drilling results up at NAL. So that sounds like it offers the potential for some upside to past expectations. I wondered if maybe a little bit of post mortem we're so focused on current production and shipments, but last year, the ramp up to the restart of the plant and everything, I wondered if there in a positive way you could sort of post mortem on sort of how that period went relative to expectations. Anything else encouraging about the process that might be a good clue to what further development stages might look like?
Keith Phillips: Yes, I'll take a crack at that. Listen, we're 10 months into production at NAL. These are projects that generally take a year or two to ramp. I think we feel really good about the ramp. The only thing that we wish had happened differently is pricing. We started the process in a bullish market. Pricing kind of fell month over month over month, which just makes it more challenging. But I think the team on the ground is doing an exceptional job. It's a great team. It's some components of the team that was there years ago, but really a fresh new leadership team who's done just a great job. And I would highlight North American Lithium, it's a special asset. It's been around for a while. It was started really in 2012, 2013, 2014, in retrospect way too early before the EV market had developed, so it had a couple of false starts. But I think it's an asset now that has scale, it has a big resource, it's got big upside based in the drill results. It's in production. It was built, and some of the final capital is going into it now. And you contrast that with greenfield projects where there's a lot of capital to raise and all the ramp process we're almost done with every other project has to go through. You think about greenfield spots and main projects or others, they just will by of necessity take time to ramp, some more than others. So I think we're at the tail end of that, and I'm hopeful we're at the tail end of that, coming into a period where operating costs will continue to improve. With these capital projects being done and the prices begin to recover, there's an opportunity for very substantial profitability at that asset pretty soon, so we're excited about that.
Noel Parks: Great. Thanks.
Keith Phillips: Thanks a lot, Noel.
Operator: As of right now, we don't have any pending questions. I would now like to hand back over to the management for the final remarks.
Erin Sanders: Thank you all very much for joining us today and for your interest in Piedmont Lithium. As I noted at the top of the call, our earnings release and presentation, as well as a replay of this call, will be available at our website. So with that, we thank you and have a good day.